Operator: Good morning. My name is Annis, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Interfor Analyst Conference Call. [Operator Instructions] Mr. Fillinger, you may begin your conference.
Ian M. Fillinger: Thank you, operator, and thank you, everyone, for joining us this morning. With me on the call, I have Rick Pozzebon, Executive Vice President and Chief Financial Officer; and Bart Bender, Senior Vice President of Sales and Marketing. I'll start off by providing a brief recap of our second quarter before passing the call to Rick and Bart. Positive EBITDA was generated, with Q2 adjusted EBITDA at $17 million, down from the previous quarter. The quarter-over-quarter decline was driven by a combination of lower sales prices, foreign exchange impacts and inventory adjustments. Conversion costs were lower in several regions, production improved by 4% and shipment volumes improved when compared to Q1. Despite a decline in lumber prices, cash flows were positive in the quarter due to working capital release and proceeds from the continued sale of B.C. Coast tenures. Although the pace of housing starts has remained somewhat resilient year-to-date in the context of interest rate environment and the associated affordability challenges, the political and trade situations in both the U.S. and Canada remain uncertain. And until we know the impacts to the economy, we will continue to be very careful managing our inventories and order files. While some economic indicators continue to show positive signals, the aggressive U.S. trade policy has heightened the risk of prolonged demand weakness, and we're maintaining a very conservative outlook for 2025. We have diversified our company to weather these type of periods of uncertainty. Our U.S. platform represents 60% of our asset base spanning both the U.S. South and the Pacific Northwest. Approximately 75% of our total production is not subject to duties or U.S. trade actions and our available liquidity of over $330 million is strong. In closing, our outlook is mixed. However, our foundations are strong. We're diversified, and we continue to see opportunities to improve efficiencies, costs and margins across all of our regions. And with that, I'll now pass the call over to Rick.
Richard A. Pozzebon: Thank you, Ian, and good morning, all. Please refer to cautionary language regarding forward-looking information in our Q2 MD&A. Overall, financial results for the quarter were a significant improvement year-over-year, reflective of stronger lumber prices and the steps we've taken to optimize our portfolio of sawmills. However, earnings continued to be constrained by a general oversupply of lumber into the market despite the significant production curtailments across the industry since the beginning of 2024. With respect to earnings, Interfor generated adjusted EBITDA of $17 million on total revenue of $781 million. Total revenue increased 6% quarter- over-quarter with a 13% increase in the volume of lumber shipped, partly offset by a 4% drop in the average realized lumber price and a weaker U.S. dollar. Stronger increase in volume reflects a catch-up on shipments delayed in the first quarter by tariff-driven uncertainty by the customer base and constrained truck availability. On the cost side, reported production cost per unit of lumber decreased 3% quarter-over-quarter, reflective of fewer operational disruptions and increased shipment volume. Ultimately, net income of $11 million was recorded in the quarter, which includes an unrealized foreign exchange gain of $19 million, driven by a weaker U.S. dollar. From an operating cash flow standpoint, $85 million was generated in the quarter, $61 million of this attributable to a reduction in working capital. This working capital improvement was driven by reductions in both log and lumber inventories. Beyond operations, we invested $24 million in capital projects and raised $7 million from the sale of assets. The asset sales included $6 million of net proceeds from the ongoing wind down of our B.C. Coast operations. Over the remainder of this year, we anticipate generating cash flow in excess of $20 million from the ongoing sale of the B.C. Coast forest tenures. Ultimately, financial leverage as measured by net debt to invested capital improved to under 36% at the end of the second quarter, and we are well positioned with available liquidity of over $330 million on a pro forma basis, considering the credit facility renewal announced last month. This credit facility renewal has provided Interfor with enhanced financial flexibility to navigate through the ongoing market volatility. To wrap up, Interfor's financial results for the second quarter reflect ongoing demand weakness, mostly driven by housing affordability concerns and economic uncertainty. Looking ahead, we anticipate continued lumber market volatility in part due to significantly higher duty rates on shipments from Canada to the U.S. and the ongoing threat of tariffs. Fortunately, Interfor is well positioned to navigate successfully through this volatility with its high-quality and geographically diverse operations. That concludes my remarks. I'll now turn the call over to Bart.
J. Barton Bender: Thanks, Rick. Lumber markets continue to reflect the uncertainty we are seeing on several fronts in our business. Affordability remains the primary issue at the macroeconomic level, but geopolitical events, particularly the Canada-U.S. trade file is contributing to the uncertainty on the industry level. On the demand side, seasonality mixed with declining new home construction makes it difficult to gauge the true demand for lumber. As we leave August, we are expecting to see demand stabilize for the balance of the year. However, at this stage, do not believe that overall demand for lumber will increase materially for the balance of 2025. On the supply side, with AR6 duties partially finalized, the markets are just beginning the process of reestablishing market prices given the change in competitive landscape. Obviously, more to follow once we find out the final CVD rates. From a species perspective, the markets continue to show support for SPF. Price differences in the market highlight a clear preference in some markets for some applications over Southern Yellow Pine. Interfor is strategically well positioned with 30% of our production being SPF. We expect that if availability of SPF remains fluid, substitution of Southern Yellow Pine will remain muted. Considering in-market inventories, we support the notion that inventories are in balance. However, context is important. Volatility in pricing that we saw through Q1 and Q2 was fueled primarily by supply concerns as opposed to actual curtailments, suggest tension is right below the surface of the current supply-demand balance and doesn't take much to move. Inventories reflect this balance, which, in our view, mean that they are on the lower end of historical levels. Our outlook for Q3 and Q4 is one that will be characterized by change. Interfor is well positioned to navigate the uncertainty, and as such, we'll continue to approach the markets with discipline. With that, I'll turn the call back over to Ian.
Ian M. Fillinger: Thanks, Rick. Thanks, Bart. Operator, we are ready to take any questions.
Operator: [Operator Instructions] Your first question comes from Hamir Patel with CIBC Capital Markets.
Hamir Patel: Ian, the Canadian federal government recently announced plans for up to $1.2 billion of industry supports, including loan guarantees. Are there any programs in that announcement that you could see Interfor tapping into?
Ian M. Fillinger: Hamir, there's not a lot of detail yet on that. Some of the trade associations are trying to get more details. But our review for Interfor is no, not really in the immediate term. The idea of creating more demand in Canada, obviously, we support that, the idea of using Canadian lumber. I think there's not a lot of the U.S. lumber coming into Canada already. So I really don't see too much of an uplift on that. But on the trade file overall, Hamir, I mean, it's the signal that we're getting from the Canadian government, it's a top priority right up there with autos and steel. So I got to believe, or our belief is that this is a conversation that is happening between Canada and the U.S. Obviously, Interfor supports a negotiated settlement sooner than later. And really, anything that can bring stability to the markets and improve housing affordability with a trade agreement is obviously something we think is important. But we do believe that it's on the radar as a top priority for Canada to get this resolved, and we're supportive and on standby to assist in any way possible.
Hamir Patel: Yes. That's helpful. And Bart, I wanted to get your views on European lumber imports to the U.S. How do you see those trending in coming months just given the escalating duties on Canadian lumber?
J. Barton Bender: Well, I suppose there's been a bit of volatility, quite frankly. I mean, some months are up, some months they're down. And I think a lot of that is fueled by the uncertainty as they try to thread the needle around any potential tariffs that might come their way. I think that my perspective on the European lumber side is it's -- they have a number of choices for different markets. They compete for each other and where the North American market fits in with them is a combination of, obviously, what that market is doing, what the relative risks on tariffs are, but also what their other markets are doing. And so as those things move around, you'll see differing rates of participation from Europe. overall. But I would expect that the trend that we've seen of late is likely going to continue and for the year-end will be somewhat similar to the previous year.
Ian M. Fillinger: Hamir, I would just -- tying into Bart's comments and your previous question around trade file and support mechanisms. If there is a negotiated settlement that would be reached between Canada and the U.S. and there's some decision or some discussion around the duties are on deposit, what would be important for Canada is some restrictive means that we would want from the U.S. on third country imports for any kind of give on a settlement on duties on deposit. So it's something to keep in mind.
Operator: Your next question comes from Matthew McKellar with RBC Capital Markets.
Matthew McKellar: I'd like to start just by asking about log costs. Can I ask what your expectations are for how stumpage evolves in Canada through the second half of the year with lumber prices pushing higher on the increase in duties? And then in the U.S., I think the Pacific Northwest is quite a tension market. And I also wonder about costs in the South, potentially less salvage activity there. So could you maybe just walk through how you're thinking about log costs and how they'll impact your operating costs over the next couple of quarters?
Ian M. Fillinger: Yes, for sure, Matt, Ian here. Yes, on Canada, with the stumpage calculation adjustment and reducing the time period that the B.C. government would assess stumpage on has more closely tied the stumpage rates or log costs to the market. So that we applaud that and we supported that and are happy the B.C. government did that. But my point here is that our log costs will move up and down with lumber prices, but we don't see a material impact in Canada or in the U.S. South relative to log costs. In the Pacific Northwest, there's tension there for sure. But again, I don't think from a ratio standpoint of log cost to sales net, which we track, it's not really moving in any kind of material way.
Matthew McKellar: You also mentioned that you continue to see opportunities to improve efficiencies, costs and margins across your platform. Can you provide a bit more detail on where your areas of focus are for the balance of the year?
Ian M. Fillinger: Yes, for sure. We've launched internally at the beginning of the year an initiative to chase a certain target on a margin. And so there's several projects that are going on with sales and marketing operations in both Canada and the U.S. that are focusing in on cost reductions, product mix improvements, inventory adjustments, et cetera. And year-to-date, we're pleased with where that's at relative to our targets. But it really comes down to product mix, mill efficiencies, uptimes, costs and inventories. But we do have an internal project that is running and a matrix of KPIs that we're tracking, and they're tracking in the right way. More work to do, but happy with the focus and the accountability that's being driven through the organization.
Operator: Your next question comes from Ben Isaacson with Scotiabank.
Benjamin Isaacson: Just one question from me. It's a multipart question, and it's related to the 25% volume exposure that you have going cross-border. Given a new level of uncertainty in Canada's trade relationship with the U.S., Ian, when you sit with the Board and discuss strategy, where do you want that 25% number to be in 2030? And assuming you want it lower, would that be through redirecting trade to domestic or Asian markets? Would it come through dilution of capacity through growth elsewhere? Could you consume it by investing downstream? And then forgive me for being naive, but is it possible for that to eventually go to single digits?
Ian M. Fillinger: Yes, that's a big question, Ben. I appreciate it. Well, I would say that if we look at our regions and end uses, our B.C. platform is very diverse. And so our 2 largest operations out of the 3 cut 5 different species. And we have multiple markets other than the U.S. that we push to. And our third mill in the BC. interior is also working on diversification plans by doing test runs of other species, which are -- generate other markets other than the traditional market that it's for. When we look at the Canadian side of the business, we do have a lot of stud production in -- or sorry, the Eastern Canadian -- we have a lot of stud production in Ontario and New Brunswick. And to Bart's point, then, if you talk to our major customers and particularly ones in the Texas area, I mean, they do not want to use Southern Yellow Pine for their construction of new homes. They want SPF volume. And the real reasons are using Texas as an example, the Southern Yellow Pine is heavier. So you got higher transportation costs. You got workers that have to handle heavier wood, hard to nail, the nails pop afterwards. The Southern Yellow Pine will twist and degrade in the heat. And SPF is the clear winner in those type of applications. So I think what you're asking is what's the Canadian product mix and future look like? I would say we're very strong in B.C. to be diversified. And in Ontario and New Brunswick, when we think about the stud volume, we think that's got -- SPF stud volume has got a bright future. And then obviously, we're diversified in Ontario with our I-joist plant. So our engineered wood product line there is a strong performer month-over-month, quarter-over-quarter. And it sells at a different strategy and a different cadence than traditional stud or dimension lumber. So I think we will continue to fine-tune our Canadian platforms, but pretty happy with the way it's positioned right now.
Operator: Your next question comes from Ketan Mamtora with BMO Capital Markets.
Ketan Mamtora: Ian, on your earlier comment on having a preference for SPF and new residential construction. I'm curious, as we are seeing more of this factory build process, is that kind of changing the dynamic around using more Southern Yellow Pine because essentially, it's machines that are doing kind of a lot of the trust building. Are you seeing kind of in that application, more Southern Yellow Pine being used?
Ian M. Fillinger: Yes, Ketan, I would say, and Bart can jump in if I'm wrong here. But we're not seeing a lot of that type of construction happening today. Bart and I, a while ago, toured a plant and generated a new customer out of that on what you're talking about. But their preference to us was SPF or fir. There was no Southern Yellow Pine being used in the factory that we visited. I'm not saying that that's not an opportunity for Southern Yellow Pine, but we're just not seeing a huge demand or anything material coming with that type of construction. And I think the principles of a more stable SPF species is going to be the priority for anybody. I think still the same disadvantages when it comes to construction qualities will exist for prefab. They're most interested in stable nailability, don't stop the factory line for any upset conditions. And we think that SPF is a clear winner in those.
Ketan Mamtora: Got it. No, that's helpful. And then other question with kind of duties moving higher here, do you think there is kind of increased risk, at least here in the short term until we get to know what is happening on Section 232. Do you think there's increased risk on more SPF imports from Europe?
Ian M. Fillinger: Well, I think Europe would be sending every stick they can today if it's profitable into the U.S. So I'm not sure if I would -- don't think that a bunch more from Europe will be hitting the U.S. that's not already doing that today. I think that the uncertainty with the higher tariffs that we're facing today, as Bart referenced in his comments and countervailing duty, which should be announced shortly, has probably put a bit of a pause on the order files. I think people are digesting how this will work. But at some point, that will change and discussions will be happening around the tariff and pricing to reflect those additional costs. But right now, I think it's kind of in a wait- and-see mode a little bit. So there's definitely transactions happening. but I think it's a little bit slower here for -- which we anticipated this last week or so, but that will correct itself.
Ketan Mamtora: Got it. And then just one for Rick. Rick, any updated thoughts on the duty deposits, the cumulative amount that you have? Are you sort of -- any thoughts around potentially monetizing it in some way? How are you thinking about that?
Richard A. Pozzebon: Ketan, Rick speaking. We continue to think about that, as I've noted on previous calls, we do have duty deposits exceeding $620 million today. We think that does represent significant value that's locked up or trapped right now. There have been several transactions in the marketplace in the $0.30 to $0.35 on the dollar range for duties similar to the deposits we have. So we know there's value there. We're just not at the point of needing to do that as far as we can see. We've done a really good job over the last couple of years reshaping our portfolio, managing our cash flows, selling off other noncore assets, such as the forest tenures that we have on the Coast of B.C. that we continue to monetize. So we're not quite at that stage yet where we think it makes sense.
Ketan Mamtora: Got it. So Rick, is it that you think that $0.30, $0.35 is too low a number and it's not something that you're willing to do? Is that how I should read it?
Richard A. Pozzebon: I wouldn't necessarily say that. There's a whole bunch of factors that go into a decision like that. Price is just one of them.
Operator: [Operator Instructions] Your next question comes from Kasia Kopytek with TD Cowen.
Kasia Trzaski Kopytek: I wanted to ask about the revised credit facility terms. Can you give us a sense of how much net debt to cap relief you're getting on the covenant? And is there anything around minimum liquidity considerations?
Richard A. Pozzebon: Kasia, This is Rick speaking. Yes, you're referring to the renewal of our facility that we reported out last month. That was quite a positive step for us. We're quite fortunate to have a lender group that really understands the volatility in the forest product sector and supports Interfor. In terms of the flexibility on our covenants, we still have the same maximum leverage ratio of 50% net debt to invested capital. Change is that we now have the flexibility to increase the leverage level at which that minimum interest coverage ratio test applies. Normally, that leverage level is 42.5%, as you know. But over the next nearly 2 years, it can be raised much closer to the 50% maximum. So that's the flexibility we have. It's worth noting today that as of -- well, as of June 30, we had an interest coverage ratio greater than 2x. So that means we've got plenty of headroom up to our 50% maximum leverage covenant. There will be more details provided on the facility when it gets filed in due course here. In terms of the minimum liquidity, there is a threshold there. We're well above it. We don't think that is a concern for us going forward.
Kasia Trzaski Kopytek: All right. Rick, I know I'll get more details when you guys file, but I'll just lob in one other one. Can you give us a sense of the implied change in your borrowing costs due to the added flexibility?
Richard A. Pozzebon: There may be an increase in our borrowing costs only if we go into that flexible period, which we're not in today. So as of today, there's no increase in our borrowing costs related to obtaining that flexibility.
Kasia Trzaski Kopytek: And if you were to go into that flexibility period, are we looking at maybe, I don't know, 100 basis points, something like that?
Richard A. Pozzebon: It depends, but probably something a little less than that.
Kasia Trzaski Kopytek: Okay. Switching gears a bit. I understand April held up okay from a volume standpoint in May and June fell off pretty hard. How did that trend into July? And what are your curtailment plans for Q3?
Ian M. Fillinger: Sorry, our curtailment plans for Q3?
Kasia Trzaski Kopytek: Yes.
Ian M. Fillinger: We don't have any curtailment plans for Q3.
Kasia Trzaski Kopytek: Okay. So presumably, maybe just regular summer shutdown?
Ian M. Fillinger: We don't take regular summer shutdowns either.
Kasia Trzaski Kopytek: Okay. Fair enough. So maybe a question about your list prices for U.S. customers. Presumably, you're putting them out, including the higher duties at this point. What has been the customer response to that? And is your sense that nothing will really happen in the near term that customers are just going to sit on their hands for the rest of the summer?
Ian M. Fillinger: Yes. On a call like this, we really won't get into that question. I did signal in a previous response that given the new higher rates that have recently been announced and the countervailing duty, which still could come out today that customers are slowing a bit in the last week or so. But we think that that's just to digest how the producers and how the market and how the customers are going to react, but we think that will get back on track here once the countervailing duty is announced, and there's a few days of discussions between customers and producers.
Kasia Trzaski Kopytek: Right. Okay. And one last one for me. The USMCA binational panel issued a decision on AR1 in late July. Do you think these outstanding duty cases pose any challenge to getting a broader lumber trade deal done more from a legal standpoint, I'm thinking?
Ian M. Fillinger: Well, I mean, yes, I think when there's pressure on either country, given any kind of legal outcome is -- will work in one or the other's favor. But keep in mind, if you look at the Southern Yellow Pine pricing today, and let's say, it's 350-ish, somewhere around there, that the average Southern Yellow Pine mill is probably losing cash today. When you think about the duties on deposit and timing of governments being able to talk about a negotiated trade deal, I think things are lining up well for both Canada and the U.S. to potentially come to discussions on this.
Operator: There are no further questions at this time. I will now turn the call back to Mr. Fillinger for closing remarks.
Ian M. Fillinger: Thank you, operator. I guess one final point that I want to reinforce, which Rick had talked about is the portfolio adjustments that we made in 2024 were tough decisions and impacted people and businesses. But as we are in this period in 2025 and looking forward, it's a much stronger position that we feel we're in to navigate these uncertain times. And with that, operator, thank you, everybody, for dialing in and have yourself a great day and reach out to any one of us if you have any follow-up questions. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and ask that you please disconnect your lines.
Ian M. Fillinger: Have a great day.
Richard A. Pozzebon: Have a great day.